Operator: Good afternoon, and welcome to the Cibus Fourth Quarter 2024 Results Conference Call. All participants will be in a listen-only mode. After today’s presentation, there will be an opportunity to ask questions. Also note, today’s event is being recorded. At this time, I would now like to turn the conference over to Mr. Carlo Broos, Interim Chief Financial Officer. Sir, please go ahead.
Carlo Broos: Thank you and good afternoon. I would like to thank you for taking the time to join us for Cibus fourth quarter 2024 financial results and business update conference call and webcast. Presenting with me today is Peter Beetham, Co-Founder, Interim Chief Executive Officer, President and COO; Greg Gocal our Chief Scientific Officer will also be on today’s call for participation during the Q&A session. Before we begin the call, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and future operational goals and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to Cibus SEC filings for a list of associated risks. This conference call is being webcast. The webcast link along with our press release and corporate presentation are available on the Investor Relations section of cibus.com to assist you in your analysis of our business. With that, I would like now to turn the call over to Peter.
Peter Beetham: Thanks Carlo, and good afternoon, everyone. Before diving into our results and business update, I'd like to address our recent leadership transition. As the Co-Founder of Cibus, Ms. Rory Riggs, our Chairman and Greg Gocal, our Chief Scientific Officer and having served as president and CRO since 2021 and CEO for the seven years prior to that, I'm deeply committed to our mission and vision. Leadership transitions can be significant moments for any company. Our strategic direction remains on track. I also want to acknowledge Rory's unwavering dedication to Cibus that has spanned more than two decades since its formation. Rory has been instrumental in building Cibus, investing behind our strategy and evolving its technologies into what they are today, a cutting edge agricultural company poised to transform the development and commercialization of crop traits. As he has stressed previously, Cibus is at an important inflection point as we continue our transformation from an agricultural trait development company to a commercial trait company. Cibus is a leader in developing gene edited productivity traits that address critical productivity and sustainability challenges for farmers such as diseases and pests, which the United Nations estimates costs to the global economy of approximately $300 billion annually. Importantly, Cibus is not a seed company. Rather, we are a technology company that uses gene editing to develop and license traits to seed companies in exchange for annual royalties on seed sales. A key differentiator of our technology compared to existing modern plant breeding technologies like GMO is that the traits developed using our Rapid Trait Development System or RTDS are indistinguishable from traits developed via conventional breeding methodologies. Notably in pending EU legislation, which I will speak more about later as there was some recent great news about the progress, they use the term conventional life. So unlike GMO based approaches that integrate foreign DNA, our gene editing approach allows us to make precise changes that could occur in nature. This distinction is critical from a regulatory perspective as it means our products are regulated similar to conventional breeding in many markets, significantly expanding our global addressable market compared to GMO traits that for nearly three decades faced significant regulatory obstacles around the world. We believe our business model will create a potential long-term revenue stream based on the cost savings realizable by farmers through application of specific crop traits. As I step into my expanded role, I'm energized by the momentum we're building across our key markets. The opportunities for our gene edited traits aren't years away, but they're materializing right now. Our herbicide tolerance traits in rice are generating commercial interest across markets including the United States, Uruguay, Colombia, Brazil and Asia, representing significant future royalty potential. With our traits moving into customer germplasm and field trials showing promising results, and with a more harmonized global regulatory environment for gene edited traits, I believe we are positioned to capture significant value for our shareholders. I'd really like to emphasize that Cibus differentiation lies in our proprietary RTDS gene editing process, which enables us to edit the customer's elite germplasm and return it with a specific trait in under 12 months, creating a time bound and predictable model for trait development and commercialization that's unlike anything agriculture has seen before. This is the significant value of our standardized platform, rapidly delivering traits that help farmers address their most pressing productivity challenges while positioning Cibus to capture the significant commercial value through annual royalties per acre. I'll now highlight some of our recent achievements and progress from the past year. I'll start with rice. Our Rice platform continues to gain substantial momentum. In December we affirmed our collaboration with RTDC Corporation Limited and Albaugh LLC to provide the herbicide Clethodim as part of our new and exciting weed management solution for U.S. rice farmers using our HT3 traits. This collaboration is instrumental to our herbicide resistance rice trait commercialization efforts as we continue to work with U.S. Rice seed customers. Including our agreement with FEDEARROZ, we now have agreements with four major rice seed companies in North and Latin America, representing approximately 40% of our estimated accessible rice acres across these regions. Importantly, we've received germplasm from each of these customers, which is a crucial step in this commercialization process. Further, we completed a successful series of U.S. field trials with one of our rice customers varieties containing our HT3 trait, showcasing the exciting continued progress we are making toward commercialization. Additionally, last summer we received initial field trial results for stacked gene edited herbicide tolerance traits in rice. As we announced at that time, we believe this represents the first field trial that uses a sex gene edited herbicide tolerance trait in rice, or for that matter any major crop to improve weed management, a breakthrough that further differentiates our offering and stands to bring significant value to farmers. As we have presented, we believe our ability to add traits and improve existing traits in time bound and predictable way, paves the way for plant breeders to accelerate their best genetics to commercial seed production and sales to farmers. Let me go to Canola. Cibus has developed productivity trait for Pod Shatter Reduction or PSR in Canola and Winter Oilseed Rape strengthens the sheath that is part of the pod around the canola seeds. This sheath is important to protect the pods, improving shatter tolerance when faced with adverse impacts from high winds and extreme weather that can cause a loss of yield. Cibus continues to make good progress on its canola and winter oilseed rape advanced productivity traits. These are Sclerotinia resistance and HT2 that offer white mold disease resistance and broadleaf weed herbicide tolerance respectively. I will discuss these in more detail in a moment. As previously discussed, Cibus has 10 customers for its developed and advanced traits in canola and winter oilseed rape, six of whom continue to work with the company to progress its developed PSR trait for approximately 7 million customer accessible acres despite a shifting commercial landscape. And with that, I'd like to turn to our advanced traits. We've made substantial advances in our disease resistance program. In November we announced a collaboration with Biographica, a UK-based leader in AI and machine learning for gene discovery, focusing on advanced disease resistance in oilseed rape and canola. This partnership leverages Biographica's proprietary AI platform to complement Cibus’ own computational biology team to identify and prioritize completely novel genetic targets for gene editing. We are really proud to partner with one of the leaders in the AI space, who has technology to help decode crop genetics. Now let me move to what I believe is one of our more significant advances over the past year. We have also reported on the significant results we have achieved over the past several months in the development of multiple modes of action for traits for resistance to white mold or Sclerotinia. White mold is a devastating and widespread disease that can significantly impact farmers crop yields in the same way that antiviral cocktails are used to treat disease like HIV in people, developing multiple independent modes of action for plant disease is expected to enable durable disease resistance and what I mean by that, it's resistance that lasts. As we have discussed previously, developing this trait in one crop like canola is a guide to how we would add disease resistance to other crops like soybean. This is a great example of a multi-crop trait that will address and help to resolve a major disease impacting yield on over 100 million acres of crops. In November we successfully completed edits in Canola for the fourth mode of action for Sclerotinia resistance with controlled environment assay results expected in the first quarter of 2025. This work builds upon our other work surrounding other modes of action which continue to progress. For instance, we received field trial results for the second mode of action in Canola showing improved disease resistance, while the first bioassay results for our third mode of action showed improved resistance. What is impressive was how quickly the Cibus team developed these third mode of action plants. Looking ahead, we expect to continue identifying, evaluating and testing additional modes of action to support a trait that is durable and applicable to customers across all growing regions. This is important as gene editing in such a time bound and predictable way can provide these multiplex traits where traditional techniques like advanced breeding, including GMO have not. I believe that this methodical, multipronged approach exemplifies our commitment to developing robust traits that address a targeted solution for real world challenges facing today's farmers. Let me turn now to our Soybean platform. A significant milestone for us in January 2025 was the successful editing of soybean cells for our HT2 traits, achieving sufficiently high editing rates that enabled expanded development of our soybean platform. We remain excited about our soybean platform as it positions us to continue to pursue the HT2 and other traits like white mold resistance in soybean. These traits alone allow us to eventually access a substantial market estimated at 125 million accessible soybean acres. As we've seen with our traits in Canola, the ability to extend our technologies across multiple crops multiplies our market potential and revenue opportunities. As presented previously, with the potential annual trait royalties per acre in the range of $10 to $15, this represents a large market opportunity on which Cibus can build. We will continue to work diligently toward a fully operational soybean platform. Soybean gene editing of complex traits like white mold resistance is an area of endeavor of great commercial interest and we are working hard to advance our discussions with current and prospective partners. So now let me jump to the exciting news around global regulatory. This past week we welcomed the announcement of the EU Council's negotiation mandate on the regulation of plants obtained by new genomic techniques or NGTs. This important advancement enables the Council to engage in three way discussions, known as a trilogue discussion, with the EU Parliament and European Commission to agree on the final text of the legislation prior to final adoption. Crucially, the EU's pending legislation is central to harmonizing the global regulatory landscape for gene editing. Under the EU's pending legislation, most gene edited plants will be regulated in a similar way to conventional breeding, which would open the European market for the first time to gene edited products such as those that Cibus is developing. Along with this exciting news from Europe, we also share today that the California Rice Commission has approved our planned field trials with our advanced rice traits in California, a first for California. This represents an important milestone for our rice traits in a key American market. This progress, coupled with previously mentioned developments in the EU, demonstrates a global trajectory toward treating gene editing technologies similar to those products developed using conventional breeding. These regulatory advancements across Europe, North America, Latin America and parts of Asia significantly strengthen the commercial opportunity for our trait platform and will serve as important catalysts for our crop trait development business. With that in mind, we are really well positioned with our customers to act swiftly as the regulatory environment continues to shift towards the global adoption of gene edited solutions. So let me move now to Sustainable ingredients. While our primary focus remains on our five-trait, three-crop pipeline, we also continue to advance our Sustainable Ingredients program. Our large multinational CPG partner funded project is progressing well. Our collective goal is focused on sustainable low carbon ingredients representing an exciting adjacent opportunity with crops and leverages our core gene editing capabilities. As major global companies seek ingredients that don't negatively impact the environment during production, use or disposal, our technologies offer unique solutions that help them advance their sustainability objectives. In connection with our Sustainable Ingredients Program, Cibus on its own, has also been developing biofragrances for the CPG industry using its proprietary yeast fermentation system. This process also fits with our mission to provide natural, sustainable alternatives for the fragrance market. So looking ahead to 2025 we have several important milestones we're focused on. The expected completion of the final text of EU legislation for the new genomic techniques, NGTs, the continued development toward an operational soybean platform, continuing field trials of our developed PSR trait in the UK, focused activities on PSR and Sclerotinia with our North American customers with positive data for various modes of action for disease resistance now in hand, we also plan to conduct field trials for Sclerotinia resistance in Canola in North America this summer to the third mode of action and our first text disease resistance trait in controlled environment rooms. We expect results from controlled environment testing for the fourth mode of action in canola in the first quarter of 2025. We also expect initial field trial data for our HT2 trait in canola in the third quarter of 2025. And finally, we are excited to see the advancement of our biofragrance work where we expect to see nominal revenues later this year. I want to emphasize that while we're focusing our resources on near-term commercial opportunities with developed and advanced traits, we're not limiting our opportunity set in any way. Each of these opportunities, including sustainable ingredients, prior breakthroughs we've made in wheat and specialty crops like peanut, and our work on nutrient use efficiency, each represent developments we are uniquely positioned to capitalize on. And with that, I'll hand the call over to Carlo for a financial update. Carlo?
Carlo Broos: Thank you, Peter. Looking at our financials for the fourth quarter, cash and cash equivalents were $14.4 million as of December 31, 2024, taking into account the $21.6 million net proceeds received thus far in 2025 from the registered direct offering in January and the impact of cost saving initiatives and without giving effect to potential financing transactions that Cibus is pursuing, Cibus expects that existing cash and cash equivalents will fund planned operating expenses and capital expenditure requirements into late third quarter of 2025. Moving to our income statement, R&D expense was $12.4 million for the fourth quarter of 2024 compared to $14.2 million in the year ago period. The decrease of $1.8 million was primarily due to lower non-cash stock compensation expense and the Strategic Realignment and reduction in force announced during the fourth quarter of 2023, which delivered decrease in personnel, cost and supplies. SG&A expense was $6.8 million for the fourth quarter of 2024 compared to $6.8 million in the year ago period. Net loss was $25.8 million for the fourth quarter Of 2024 compared to net loss of $277.2 million in the year ago period. The prior year period included a non-cash goodwill impairment charge of $249 million and when excluding this charge, we are pleased that our net loss has improved approximately $2 million year-over-year driven by the cost reduction efforts we implemented in the quarter. For additional details about the financials for the fourth quarter and full year of 2024, please refer to our press release and filings with the SEC. That concludes our financial discussion. Peter now back to you for your closing remarks.
Peter Beetham: Thanks Carlo. It really has been an exciting 12 months here at Cibus. As we've discussed, the past year has been pivotal for Cibus in so many ways. We saw substantial progress across our key platforms and traits, particularly in rice Sclerotinia resistance, and we continue to make progress towards an operational soybean platform. The global regulatory environment continues to evolve favorably, which we expect will continue to encourage our customers to embrace our technologies. Our gene editing technologies and focus on productivity traits holds great promise to the future of farming because they enable crops to be more adaptable for a changing environment and the changing demands of a global food supply chain. As global agriculture faces unprecedented challenges, our RTDS technologies have the potential to help the industry rapidly and reliably adapt in ways that traditional breeding methods or GMO approaches simply cannot match. I want to emphasize again that the opportunities for our gene edited traits aren't years away, they are materializing right now. Agricultural timelines are inherently long, as many in the industry are well aware, but we believe we're on the precipice of moving up the J curve where this opportunity really starts to take off. Without traits moving into customer germplasm and showing promising results in field trials, along with crops containing our traits already on the path to commercialization, we are positioned to capture significant value as regulatory frameworks continue their positive evolution in the second half of this decade. So thanks so much for your attention and interest. We're really looking forward to updating you again next quarter as we continue to hit our milestones and advance our mission. This concludes our remarks. Operator could you please open the call for questions? Thank you.
Operator: Thank you. [Operator Instructions] And the first question will come from Laurence Alexander with Jefferies. Please go ahead.
Laurence Alexander: So good afternoon. Could you maybe just start by unpacking a little bit what the EU decision means in terms of the milestones or timeline for you to have commercial products with a customer in Europe? And also can you give a flavor for how the changes in the regulatory landscape over the last 18 months have changed the customer interest in looking at alternative revenue structures with you to incentivize you to scale up faster or move faster or kind of how or is there anything that they are looking for from you to have such discussions?
Peter Beetham: Well, thanks so much for your question, Lawrence. I really appreciate. This is such an important aspect of our business and I think that I really can't underestimate the importance of the process in Europe on the regulatory front. What happened on March 14 was where the EU Council have been working over the last few months to really understand how to advance the EU trilogue discussions and this is really to complete the text of the new genomic techniques. As I mentioned in my remarks, where this ends up is that allows them to do improve the final adoption of text that the Parliament approved last year. What's important to really understand about that is the parliament has already voted. The text is not changing apart from a few amendments that the EU Council now ratified as part of their discussion. So the implications of this are not just in Europe. There are trade and cultivation implications and a lot of the jurisdictions around the world look to the EU for guidance on how new technologies, in this case new genomic technologies like gene editing are going to advance in a lot of seed companies breeding programs around the world. So we know that a lot of our customers have been looking to this to accelerate their programs, understanding that when you think about plant breeding program, making sure that you have a clear path to cultivation, as well as some of the major companies that trade grain around the world look to it for guidance on trade. So, I think there's, like I said, you can't underestimate how important this is to the whole gene editing world we live in right now. And I'm going to ask Greg to make a couple of additional comments.
Greg Gocal: Yes. Thanks Peter, and thanks for the question, Lawrence. So remember that what Cibus does is, is non-transgenic in process and product, so non-GMO and conventional like as the legislation indicates. So independent of whether we're developing productivity traits, our five traits in three crops, or whether we're developing other edits or purposes that are towards sustainable ingredients, all of those and a clear path through the grain trade are really helpful to what we're trying to accomplish.
Laurence Alexander: And then just secondly, can you just talk a little bit about the, sort of the degree to which the current draft of the EU law lets people patent the genetic modifications. And from your perspective, in terms of your discussions with customers, in terms of the speed of demand pull through, is it better or worse that those changes be patentable or not?
Peter Beetham: So the good news. Thanks, Lawrence, because I think that's a really good follow-on question because one of the amendments that was discussed was around patenting, and this is a clear message from the council is that they see this as transparency. And so what they are advocating for is that as you bring a product to market as a seed company, that you're transparent about the patterns that are behind that. So it's a little different to where they started and the good news is for us, I think they ended up in a very strong position of making sure that there was transparency for the seed industry in Europe to conform to IP coverage, intellectual property coverage and I think it's a very strong position they ended up in.
Laurence Alexander: Yes, thank you.
Peter Beetham: Thank you, Laurence.
Operator: The next question will come from Austin Moeller with Canaccord. Please go ahead.
Austin Moeller: Hi, good afternoon. Just my first question. Given the progress on HT2 greenhouse data going to the field, fermentation biofragrance products and the third mode of action for white mold and canola, has the timing of the commercialization dates for any of the products in your investor deck changed at all from last quarter? Is everything on track?
Peter Beetham: So Austin, thanks for that question. I think let me focus on the first part of your question on HT2 trait. I think the field trials this summer are going to be very important for making sure we stay on track. Everything you've mentioned today is we are staying on track is the key message. So what's, I think when you think about what Lawrence just asked on the European regulatory part of the importance of that is the acceleration of a lot of our customers of thinking how to get products on the market as fast as possible. So as we expand our efforts in the different modes of action in Sclerotinia or white mold resistance, there is a keen interest to really accelerate a lot of that work in both our Canola, winter oilseed rape program. And so this is a really important year for both HT2 and Sclerotinia tolerance for canola and winter oilseed rape. I'll leave it there and see if Greg has anything he wants to add.
Greg Gocal: Yes, I think you covered it. I think we're really excited about what the team has delivered in the last 12 months and in the last quarter, especially with respect to our advanced traits of Sclerotinia resistance and HT2.
Austin Moeller: Great. And just a follow-up. I understand you expect to raise in Q3 or prior to Q3, but do you expect your current cash balance and consumption to be at sufficient levels, where you can advance all of the traits that you're currently developing?
Peter Beetham: Yes. Thanks for that, Austin. I think there's no doubt we are working hard to achieve all the milestones that I listed out in our remarks. I think there's a lot of this is progressing really well and we will work to meet our cash requirements. I'll hand it to Carlo to make additional comments.
Carlo Broos: Yes, thank you, Peter. The only thing I would like to confirm from year end recognizing structured financing in January, over $20 million. When you look at that and then realize that we have this serious reduction of a burn this year, we're confident that we can move forward nicely all the way into late quarter three and can do all the things we have to do and want to do.
Austin Moeller: Excellent. Thanks for the details. I'll pass it back there.
Peter Beetham: Thanks Austin.
Operator: The next question will come from Sameer Joshi with H. C. Wainwright. Please go ahead.
Sameer Joshi: Hey, good afternoon. Thanks for taking my questions. Just a little bit of related to the previous questions. The sustainable ingredient business, I think you are expecting initial nominal revenues from that. Should we expect like meaningful revenues in 2026 from maybe the biofragrance or maybe one of the partner-based revenues?
Peter Beetham: So thank you for the question. It's on point because one thing that we haven't discussed a lot previously is our biofragrance work. And I'm excited to share with you that over the last 12 months we have made great progress in that area. It is a fermentation-based product. We've made some really important milestones over the last, even last two to three months on that and so we're very comfortable that we are going to see revenues in 2026 of where we sit today. There is a biofragrance market for that a lot of the large multinational CPG companies are looking forward to and I think that we can meet their needs with some of the biofragrance work we've done. It is the legacy of some of the early work that Greg Gocal and the team have done of understanding how to look at these genetics. And I think that's we've used that platform often to understand how we go about some of our targets for weed management. And so it's been a surprising result if you like, and exciting to see that we're going to see some revenues in 2026.
Sameer Joshi: Interesting. Sounds very promising. On the European regulatory pathway that is likely to open up for you. Are you already in touch with the potential customers there? And also part two of that question, are you also working on crops that are grown in Europe like wheat and barley, and developing traits or platforms for those?
Peter Beetham: So thanks for that question. It's really important that we stress that five of our winter oilseed rape customers are based in Europe. So we're working closely with European customers already on both Sclerotinia tolerance as well as some other traits. And I think that right now last year we reported that we have a wheat platform and so we're actually suspecting that we will see more interest from Europe now on some of the other crops we have winter oilseed rape, we have a platform in wheat and we do see some opportunities in that area. What I will stress is that Sclerotinia tolerance or disease tolerance in general, being a multi crop trait, is really valuable to markets like Europe. And with that, I'll hand it off to Greg to see if he wants to add a little bit.
Greg Gocal: Yes, so excellent question, Sameer. And as Peter reinforced, what we've been able to accomplish in terms of a couple this is the second year of field trials that we're doing in the UK for our Pod Shatter trait and we're excited by what we saw last year, but also in terms of future opportunities. So the fact that we have a right Rice platform, we've developed, the Wheat platform enables us potentially to access other crops like barley, but as probably as partnered opportunities, not as things that would be necessarily funded today by Cibus' work.
Sameer Joshi: Understood, thanks for that. And then just maybe on the cost front, the operating costs have come down nicely or that sequentially over the last three quarters. Are the cost cuts already, like, is this the level that we should expect going forward or are you expecting further cost optimizations anymore to be realized?
Peter Beetham: So let me start off. Thank you for that question. Carlo and myself and Greg, we spend a lot of time making sure we look at our cost structure and so we believe there are some additional savings over time as we refine some of the processes. I think even some of the work that Carlo's been doing in the finance group has allowed us to streamline some of our early processes. And so we continue to work on that. Maybe Carlo wanted to make a…
Carlo Broos: Yes, one extra bill, Peter. We look at efficiencies in the back office, like better systems. So there I think we were able to further streamline and reduce where we can. But I think that 20% was already impressive. We just delivered.
Sameer Joshi: Yes, no, that was good. Thanks for taking my questions and good luck.
Peter Beetham: Thank you.
Operator: The next question will come from Matthew Venezia with Alliance Global Partners. Please go ahead.
Matthew Venezia: Hey guys, congrats on the quarter. Thanks for taking my questions. Firstly, I just wanted to ask if you've identified any priority traits and crops that you intend to spend the most resources on in your ramp to commercialization. And I'll give you a sec to answer that before I give you my others.
Peter Beetham: So I think. Thanks Matt, for the question. It's important to stress that we are really focused on the three crop, five trade platform. So but as you've heard from us over the last couple of quarters as well as today, we're excited about what we're seeing with rice particularly and our advanced traits in canola and winter oil seed rape. So we're very much focused in that area and I think this, I go back to the EU regulatory that really allows us to get confident of some of our timelines commercialization. The other area, I believe is soybean and I think this is an area that we're really very much focused on. The team is doing a great job of progressing towards an operational soybean platform. This as you might imagine, is very interesting. There's a lot of interest on soybeans, particularly in the U.S. And so the traits that we have worked on with Sclerotinia tolerance, disease resistance is something that traditional breeding and GMO just never addressed. And so as you saw earlier this year we announced an AI power gene discovery partnership with Biographica. And so additional focus on understanding the gene targets around disease resistance for canola and winter oilseed rape was one of our areas that we really wanted to put some resource behind. But it really complements our computational biology team. The power of AI is incredible. And understanding what to target and really understanding that we now have a time bound and predictable process in canola to add traits. So they're the areas of real focus for us right now. Matt.
Matthew Venezia: Got it. Thank you. And I have kind of a technical question on the soybean front. I don't know if it's public yet, but given that regeneration from protoplasts has been achieved in the literature before in soybean, but only in certain genotypes should we assume that you guys have achieved regeneration of full plants, just not genotype nonspecifically or just not in some of the genotypes that your customers have sent you? If you could, I guess you or Greg could comment. Thank you.
Peter Beetham: Yes, of course I'm going to ask Greg to comment on this one too. But I'm going to start off by saying that, regeneration from protoplasts, there is I think at least one scientific publication, sorry from many years ago which was very much genotype specific. What we're focused on is building an operational platform, in other words that meets with our partners needs and with elite genetics. As people may know, soybean is grown across many geographies and so you have to have a lot of different maturity groups of soybean to actually have a commercial relevant genetics background. So that's what we've been focused on looking at multiple ways to get there. What we were excited about was the fact that the team was able to show editing in protoplast at a high level targeting one of our traits that we know the targets for. But with that I'm going to hand it off to Greg to make some comments.
Greg Gocal: Yes. Thanks Peter and thanks for the question, Matt. So really excited for what the team has delivered over the last year and especially the last quarter for soybean. And to reinforce what we're seeing is a very high rate of editing in soybean at a single cell level. And we have multiple paths that we've seen lots of great progress on towards the traits. We understand all of the edits or the edits for the different modes of action for Sclerotinia as well as for the HT2 trait to be successful.
Matthew Venezia: Got it. Thank you, guys. And in terms of Pod Shatter reduction, I know you had answered about the timelines earlier, but are we still assuming 2026 for the first royalties from Canada and how about from the EU? Does this decision at all push up those timelines a little bit or are we still on track for 2027, 2028 there?
Peter Beetham: So let me take the last part of your question. Where we sit today. The EU regulatory is a really important aspect of any trace in Canola. Now we've given guidance before between 2026 and 2028 when we see revenues coming from Canola and winter oilseed rape. And so that respect hasn't changed when it comes to Pod Shatter. We continue to move ahead but today this I don't think the European regulatory accelerates any of those timelines.
Matthew Venezia: Got it. Thank you. All right, thanks for taking my questions. I'll hop back in the queue.
Peter Beetham: Thanks Matt.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks. Please go ahead.
Peter Beetham: So thank you all for joining today. As I mentioned in my prepared remarks. I just really want to thank everyone for their interest and support of our company. I'm able to represent an amazing team here at Cibus, and I'm so proud of the progress they've made in the last quarter. We have a big year ahead. We have a lot of milestones that we see. We're excited by that. And I would like to just finish and say thank you again for the great questions today and the opportunity to present Cibus to you at our quarterly earnings report. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.